Operator: Greetings, and welcome to the Gulf Resources 2019 Annual and Fourth Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It's now my pleasure to introduce Helen Xu. Please go ahead. 
Helen Xu: Thank you, operator. Good morning, ladies and gentlemen, and good evening to all of those of you who are joining us from China. And we'd like to welcome all of you to Gulf Resources Annual and Fourth Quarter 2019 Earnings Conference Call. My name is Helen, the IR Director. Our CEO of the company, Mr. Xiaobin Liu, is also joining us this call today. I will be offering translation for his comments for the company's operating results during the Q&A section.
 I'd like to remind you -- to all of our listeners that in this call, certain management statements during this call will contain forward-looking information about Golf Recourses Inc. and its subsidiary business and products within the meaning of Rule 175 under Securities Act of 1933 and Rule 3b-6 under the Securities Exchange Act of 1933 (sic) [ 1934 ] and are subject to the safe harbor created by those rules. Actual results may differ from those discussed today, taking into account a number of risk factors, including, but not limited to, the general economic and business condition in China; future product development and production capabilities; shipments to end customers; market acceptance of new and existing products; additional competition from existing and new competition from the bromine and other oilfields in the power production chemicals; change in technology; the ability to make future bromine assets; and the various other factors beyond its control.
 All forward-looking statements are expressly qualified in their entirety by this cautionary statement and the risk factors detailed in the company's reports filed with the SEC. Gulf Resources assumes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call.
 Accordingly, our company believes expectations reflected in those forward-looking statements are reasonable and there can be no assurance of such will prove to be correct. In addition, any reference to company's future performance represents the management's estimates as of today, the 15th of April, 2020. 
 For those of you unable to listen to the entire call at this time, a replay will be available for 14 days at the company's website. The call is also accessible through the webcast and the link is accessible through our website. So please look at our press release issued earlier for that detail.
 Because of the events of the past 13 months, we will focus net on the reported numbers, but more on the progress that company has made and are making to restore our company to profitability.
 So we will start the call today with some comments from the company's CEO, Mr. Xiaobin Liu. 
Xiaobin Liu: [Foreign Language] 
Helen Xu: [Interpreted] Okay. Thank you, Helen, certainly true. 13 months ago, we had to close our faculty for rectification under a government program to improve the environment. After completing some rectification work, we were able to open some of our bromine and crude salt facility. Then the company was hit by the second most destructive typhoon in China's history. All of our facilities were flooded. So the company, again, had to repair everything and begin operations. 
Xiaobin Liu: [Foreign Language] 
Helen Xu: [Interpreted] Then the government, in order to protect the environment, during the winter month, when pollution is at its worst, asked the company to close all of its facilities for 2 months, and we were getting ready to reopen, this COVID-19 epidemic forced the government to extend the closure. Finally, all of the problems seem to be behind the company. We have opened 2 of our bromine and crude salt facilities, 2 more expect to start trial production in the next few days. And we will begin commercial production in the next month. We are optimistic about opening the remaining 3 facilities. 
Xiaobin Liu: [Foreign Language] 
Helen Xu: [Interpreted] The company had received approval to begin contraction of our chemical factory and expect to start at the beginning of next month. We are optimistic about getting commission to get -- once again begin producing natural gas in Sichuan. We have become increasingly opportunistic about the future. 
 Now I will turn the call back to Helen for some more details on this subject. 
 So now I will look at more on this subject. On September 1, 2017, the company and its competitors received letters from government instructing us to close our bromine and chemical facilities. So they could go through rectification to improve the environment. We were also informed that our chemical factories would have to be closed and then relocated. We immediately began the rectification. On September 2018, the company was informed that bromine factories #3, #4 and #11 were too close to where people were living and would not be allowed to resume production. On May 29, 2019, we received a notice from government in Sichuan Province that the company needs to obtain approvals, including projects safety, environment protection and land for our natural gas where located. Sadly, it had to temporarily held production at our natural gas well until these approvals are received.
 In August 2019, Typhoon Lekima, the second most destructive typhoon impacted China, hit Shandong Province. Lekima dropped 15.2 inches of rain in Weifang City, flooding all of the [ first ] company's factories and [ salt ponds ] and causing very significant damage. This forced us to do more rectification and delayed our approvals.
 On November 25, 2019, the government of Shouguang City issued a notice ordering all bromine facilities to stop production from December 16 to February 10 for environmental reasons. Winter is a time of the greatest air pollution in Shandong Province. Unfortunately, it is also the slowest production time for bromine and crude salt. Subsequently, because of the COVID-19 outbreak, the closures were extended until February 29.
 So now we will see the highlights of the company's plans and business development in 2020 and key results for fiscal year 2019. First, on March 5, 2020, the company received governmental approval to resume production at bromine factories #1, #4, #7 and #9. In the middle of March 2020, the company began its trial production in factories #1 and #7. On April 3, 2020, the company began commercial production in factories #1 and #7. In middle of April, the company expect to commence trial production in factories #4 and #9. In May 2020, the company expects to start commercial production for factories #4 and #9. And the company has completed major rectification on facilities from factory #2, #8 and #10. And expect to receive approvals for these 3 factories to begin trial production in the near future.
 #7, during 2019, the company spent approximately $16 million on property, plant and equipment. A large percentage of these spends were spent on performing rectification, creating new wells, upgrading our facilities and repairing our facilities from the floods. This will enable the company to operate more efficiently in the future. The company believes there should be an opportunity time for resuming production because bromine is, among other things, used as disinfectant. During this time of COVID-19, there has been increasing demand for bromine. The average price of bromine has almost doubled in the past 6 years. With many of our smaller competitors being unable to open their factories, we believe demand will remain strong, while supply will remain constant.
 Post change, priorities should remain high. This should enable the company to become profitable. So the company expects to commence construction on its new chemical factory in May 2020 and expect this factory will be operational by the end of first half of 2020. One, the company expects the new factory will have less competition and more profitability. Company continue work with the town, county and provincial government in Sichuan, and believe it will receive all approvals to restart its natural gas and bromine production is Sichuan. As the company's bromine factories have commenced production and the new chemical sector will start construction, we believe the company will be positioned to become profitable.
 Now let's turn to the financial results. Since our results are shown in our press please, so we will only touch on the highlights. For the year 2019, revenues were about $10.6 million as compared to $2.6 million in 2018. Gross profit was about [indiscernible] million. Direct labor and factory overheads incurred during planned shutdown were $15.2 million. GAE were about $13.3 million. Our loss from operations was about $23 million. The company incurred an income tax expense of about $2.8 million. Its net loss was about $25.8 million. The net loss per share was $2.71.
 Now let's look at operations by segment. Net revenue from bromine segment increased to about $10 million. The company opened factories #1 and #7 in April. On August 12, 2019, Typhoon Lekima hit Shandong Province. All of the bromine mines and crude salt pumps were flooded. The company had closed the 2 factories that were open and postponed opening other factories while we conducted repairs.
 For the year ended December 31, 2019, the gross profit margin for our bromine segment was a very strong 52%. In 2016, gross margin in bromine were 45.6%. The second largest cost component is depreciation and amortization with only a few months of operation. The depreciation and amortization had to be allocated over lower level of sales. Had our factories and mines remained open for the full year, gross margin would have been higher. 
 Loss from operations from our bromine segment was about $15.6 million. This loss was impacted by direct factory labor, since we had to keep our workers employed, start-up expenses and cleanup costs from Typhoon Lekima as well as overheads from crude salt segment, which had a low level of sales. So for the fiscal year 2019, we spent approximately $60 million to acquire property, plant and equipment. Our expenditure for drilling new wells should enable the company mines and factories to operate more efficiently in the future.
 Net revenue from crude salt decreased to about $522,000, primarily because the company had limited stock inventory and limited time for production. Our loss from operation was about $4.4 million.
 During 2019, the chemical segment had no revenue as we awaited government approval of our new factory. We received approval in January and expect to begin construction in May. Operation should begin in spring 2021. In the first half year of 2020, first, the company had already incurred relocation costs of about $10.3 million, including the land lease. Total costs for the new chemical factory are expected to be $60 million. Loss from operations from our chemical product segment was about $2.8 million.
 For the year ended December 31, 2019, the net revenue for the natural gas was $51,000 with a loss from operation of about $189,000. We are working with town, county, city and provincial governments in Sichuan for obtaining the approval we need to restart our natural gas well and are optimistic that these approvals will be received.
 So now let's turn into our balance sheet. The company ended 2019 with cash of about $100.3 million. Cash per share was $10.54. We have enough cash to build our new chemical factory, drill move bromine wells and expand our business in Sichuan Province and pursue other growth opportunities. Our working capital was almost $101 million. Working capital per share was $10.60. Net-net cash, which is cash minus all liabilities, was, per share, $9.88. Shareholder book value per share was $0.2765.
 In the year 2019, cash used in operating activities was about [indiscernible] million. Addition to property, plant and equipment were $60.6 million. In the past 2 years, the company has invested almost $96 million in property, plant and equipment in the past 2 years. We expect a substantial return on this investment in the coming years.
 Now let's turn the call back to Mr. Liu for closing remarks. 
Xiaobin Liu: [Foreign Language] 
Helen Xu: [Interpreted] Mr. Liu stated that the company would like to thank to all of its shareholders and employees who have supported us throughout this difficult period. We are fortunate that the company had large amounts of cash when this difficult period began. And yet, we still have enough cash to reopen of -- all of our facilities and still have cash available for other growth opportunities. The future of our company now looks bright. 
 So now let's turn the call back to Helen and start your question-and-answer session. 
Operator: [Operator Instructions] If there are no questions at this time, I'll turn the floor back over for any further or closing comments. Helen, there are no questions at this time. I'll turn the floor back over to you. 
Helen Xu: Okay. Thank you. [Foreign Language] 
Xiaobin Liu: [Foreign Language] 
Helen Xu: [Interpreted] If there is no more question, can we close the call for today? 
Operator: Yes. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today. 
Helen Xu: Yes. You have a good night, and a good day. Take care. 
Operator: Thank you, everyone.
 [Portions of this transcript that are marked
 [Interpreted] were spoken by an interpreter present on the live call.]